Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Innergex Renewable Energy’s Conference Call for the First Quarter 2015 Results. At this time, all participants are in a listen-only mode. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, Thursday, May 14, 2015 at 10:00 AM Eastern Time. I will now turn the conference over to Marie-Josée Privyk, Director, Communications and Sustainable Development. Please go ahead.
Marie-Josée Privyk: Thank you. Good morning, ladies and gentlemen. I am here today with Mr. Michel Letellier, President and CEO of Innergex and Mr. Jean Perron, Chief Financial Officer. Also joining us is Mr. Jean Trudel, Chief Investment Officer. Please note that the presentation will be in English. However, you are welcome to address your questions either in French or English. I would also like to point out that journalists are invited to call us afterwards if they wish to address any questions. In a minute, Mr. Perron will provide some details on our financial results for the first quarter ended March 31, 2015. Mr. Letellier will then provide an overview of our operating activities and outlook. We will then open the Q&A session with all three senior executives. The financial statements and the MD&A have been filed on SEDAR and are readily accessible via the Internet. You may also access the press release, financial statements and the MD&A on the Innergex website in the Investors section. During the presentation, we will refer to financial measures, such as adjusted EBITDA, free cash flow and payout ratio that are not recognized measures according to IFRS as they do not have a standardized meaning. Please be advised that this conference call will contain forward-looking information that reflects the Corporation’s expectations with respect to future results or developments. For explanations concerning the principal assumptions used by the Corporation to derive this forward-looking information and the principle risks and uncertainties that could cause actual results to differ materially from those anticipated, I invite you to consult the first pages of the company’s MD&A as well as it’s Annual Information Form. I now turn the conference to Mr. Perron.
Jean Perron: Thank you, Marie-Josée. Good morning. The quarterly results for Q1 2015 are showing production that was at under 21% of the long-term average of 543 gigawatt hours due mainly to above average water flows in British Columbia. This translated into a 658 gigawatt hours of production compared with production of 417 gigawatt hours in Q1 2014. You will recall that last year’s production was at 84% of the long-term average of 498 gigawatt hours for the quarter. Revenues for the quarter were $57.7 million compared with $37.6 million in 2014. The increase is due to the above average water flows compared to below average production in 2014 and to the acquisition of the SM-1 facility in June 2014. Operating expenses, G&A and prospective expenses for Q1 were up $2.5 million or 20% due to the variable cost associated to greater level of production in BC and the addition of the SM-1 facility. Adjusted EBITDA stood at $43 million compared to $25.2 million in Q1 2014. The increase is mainly due to the higher production. Finance costs were down $3.2 million, or 17% due to the lower inflation compensation injuries. During the quarter, a $68 million loss was realized on derivative financial instruments resulting from the settlement of Boulder Creek and Upper Lillooet River bond forward contracts, upon closing the $492 million financing of projects. This realized loss is a result of decrease in benchmark interest rates between the date the bond forwards were entered into in late 2013 and the settlement date in March 2015. It will be compensated by low weighted average fixed interest rate of 4.36% for the 25 to 40 years term loans compared to a net interest rate of 5.6% to 6% that was set at the time of the hedge. This loss was funded with proceeds from the project financing. For the same reason, further loss could be recognized upon closing the Big Silver and new projects financing in the coming months. The Corporation recognized an unrealized gain of derivative financial instruments of $12 million, due mainly to the reversal of the unrealized loss accrued to December 31, 2014, upon settlement of the bond forward contracts of Boulder Creek and Upper Lillooet, which more than offset unrealized assets and derivatives resulting from the decrease in benchmark interest rate during the period. Excluding the realized loss and unrealized gain or loss derivatives and the related income taxes, net earnings would have reached $6.2 million for the quarter, compared with a net loss of $10.5 million for Q1, 2014. Overall, a very strong first quarter allowed us to start the year in positive note, mainly due to the BC Hydro sector, as a result and combined with a very good fourth quarter in 2014, our trailing 12-months free cash flow ending on March 21, 2015, reached $82.2 million compared to $49.2 million for the same period ending Q1, 2014 and our payout ratio improved to 74% from 112%. Since the beginning of Q2 2015, our production has been somewhat below the long-term average at most facilities and particularly in BC, but it is still very early in the year and to guess what the solar regime would be for the entire year and we are confident in our ability to reach our long-term average production for the year. This concludes my review of the results. I would like to answer any questions you may have later on. I will now turn it back to Michel.
Michel Letellier: Good morning, everybody. We had a very good AGM yesterday. We made public a couple of things. First, we updated our website, that’s a brand-new website. Included in that website, we made also public a small corporate video that I invite you to have a look. And also we made public our first sustainable development report, we are very proud of the end product. So please have a look of those three new features on our website, very interesting to watch. As you know, we have made public our priorities in the last call. And obviously, the first priority was to advance and deliver it on our construction project, and to put projects financing in place. So we are very happy to update you on those advancements. If I am starting with BC, you know that we have four hydro facilities under construction in BC. The first one Tretheway Creek is the one that we will put in service this year, it will be on the Q4, maybe a little bit earlier, but so far we had said late Q4, everything is on line, equipment has been delivered on-site. The last piece of the penstock are being installed, so things are going very well in this project. Project financing was done last year on that project, so there is no issue on financing. Upper Lillooet and Boulder, those are a cluster – those are the biggest projects in BC. We made the project financing. We completed the project financing last quarter. We are very happy with the terms, it was the biggest financing – project financing that Innergex did in its history. We made $491 million project finance, non-recourse 40 years fixed term, so very happy to have done that. Construction are resuming on Upper Lillooet and Boulder. If you remember, winter time we are not accessing this site. Due to low snow in the region we have started the construction a little bit earlier. So now we are full crew starting to work on the Upper Lillooet as a little bit earlier than we had anticipated, so that’s a good start. We are advancing on two tunnels in Upper Lillooet and Boulder. This is the critical path, so we are advancing on that front. We are putting a lot of energy there. But overall things are going very well in Upper Lillooet and Boulder. A big achievement was for Big Silver Creek. We had completed the tunnel in the Big Silver in our budget and a little bit earlier than we had anticipated. So that’s a very good news for Big Silver. We also have signed the term sheet and we are expecting the financing to be completed in June for the project financing, same approach, fixed term, fixed income, for 40 years, with the same group that did Upper Lillooet and Boulder, so very confident on the execution. And we are very happy so far with the turns that we are seeing. Another big achievement that we were working on is to start construction on our wind farm in the Gaspe Peninsula, Mesgi'g Ugju's'n project, a 150-megawatt wind farm. We have signed a contract with Borea. Borea has been working for us in the past. They have done Viger-Denonville and Carleton, so we know them very well. Very happy with the pricing we got. Obviously, it meets our budget if something maybe a little bit lower than our budget. So, very happy to start construction, construction is scheduled to start next week. So, it’s a great project in partnership with the First Nation. We have included the First Nation in the selection of the contractor. We are hopeful that we will also have a good turnout with First Nation participation in the construction. That’s part obviously on our philosophy of making sure that we have the introduction of local workload working in our project. So, very happy to see how it’s evolving there. Financing, we are expecting to have, actually tomorrow, the proposed term sheet that we were basically sending CIM about a month ago – Jean, it was about a month ago, 2 months ago. So, we are expecting to have a lot of term sheet tomorrow, expecting to close the financing by September or so. So, all-in-all, I think that we have made great advancement on these projects, very happy, very comfortable with the budget and the timing as a portfolio basis. So, we have now a great foundation to support the future growth initiatives. Like I said, earlier on, in the last call, Innergex has come from a merger of an income fund and a growth company. I think we had little bit of pressure on the payout ratio in the last 5 years, but this is starting to be behind us. We have these great projects that are going to generate very good cash flow. I think that we have one of the greatest portfolio in terms of quality and long-term EPA, so very comfortable now to think ahead. Just a reminder that these five projects that we just mentioned are going to contribute a lot with the cash flow, we maintain our guidance for the cash flow of 2017 of about $95 million of free cash flow. And when we say free cash flow, it means that it’s after reimbursement of capital, after payment of preferred dividend and after about $8 million of prospective expenses. So, that represents roughly $30 million of free cash flow over and above the common share dividend. So, we have this margin obviously that we didn’t have in the past and that makes us very – much more comfortable to think about going and replenish the pipeline after 2017. I think people remember a little bit of our strategic conclusion of the strategic planning last fall. We decided to go into Europe for wind and solar. The aim there or the philosophy there is to start by acquiring existing facility that can support some developments on future development. So, we have been quite active in Europe in the last quarter. We are happy to report or to say that we have made a good headway in that market. Happy to see the type of and the quality of asset that we have seen evitable in Europe lately, so we are still working on that. You know also that we wanted also to leverage our knowledge in small agro development. We have identified Mexico and potentially Peru as good market to leverage our experience in the development, financing, engineering and operating of small hydro facility. In those markets, there is less competition in that sector compared to wind and solar. So I think that we have a good chance to create value there. Again, quite happy to see the type of reception we had and the good meetings we had with the potential partners in those regions. I think also that we have as you may remember two teams working. One is based in Montreal and going to cover the Europe, it’s not the same expertise we are dealing with wind and solar. So the expertise lays in Montreal, so it’s easier to cover the Europe. And the Hydro development team is mainly concentrated now in Vancouver and therefore are going to cover the Mexico market and potentially the Peru end market. So all-in-all, very happy to the headway that we have done on that front and very, very comfortable with the construction schedule and budgeting that we have on the five projects under construction. So on that, I think I will going to let the question come.
Marie-Josée Privyk: Thank you, Michel. We would now like to turn the conference over to the Q&A session.
Operator: Thank you. [Operator Instructions] Your first question comes from Rupert Merer with National Bank Financial. Please go ahead.
Rupert Merer: Good morning everyone. It may be too early for you to answer this question, but with your efforts in the new markets, new market development efforts, have you learned anything that has evolved your view on the size of those markets, the return potential or the time it might take to get established in those markets?
Michel Letellier: Well, I think that I can probably confirm that the expectation in terms of return and availability of market. Let’s say this, we are very optimistic and happy to see the type of and the quality of meeting we have with potential partners. And obviously, Europe is definitely a market that is mature. So we think that given for some reason, I think that there is maybe a little bit more potential of return compared to what we can see in North America, especially in the U.S. So I think that we can create a little bit more accretion in Europe, compared to what we are seeing in wind in America. But obviously, it’s a mature market. And if we are acquiring existing facility, the return will be likely to be reasonable. But the important thing is that it will be accretive to our existing profile. I will just leave for the development of hydro, those type of returns are probably in the high-teens, that’s theoretically the target that we are looking. But obviously, it’s a little bit early to conclude on the final type of return, but definitely more risky project being obviously exposed to construction tend to bring more return. And Peru and Mexico are obviously demanding a premium compared to Europe or North America. So all-in-all, we are very agnostic of the relation, as you know I have been saying that all along, that for me, return and risk is always an equation that we have to keep in mind. But the idea for Innergex, when we are going out is to have this equilibrium between our existing facility, having operating assets, construction exposure, development exposure and obviously, working always on the prospective perspective pipeline. But I guess I want to reiterate that whenever we are going to do international, we will do with the same philosophy that have driven Innergex in the past. And that philosophy brought us a great success brought us certainty and good equilibrium in terms of return and risk.
Rupert Merer: Okay, thanks. And you have an NCIB in place, I know you haven’t been using it, but can you talk about the conditions you think you might use it, you have a view on the IRR on repurchases of your own stock at this current price and a view on when that might become important, if the project developments are further out than the availability of cash?
Michel Letellier: That’s a good question. It’s a little bit harder and obviously I won’t predict and I won’t announce any pricing, but if I am happy with the price of the stock at $11, no, I think that again, we have the long discussion, Rupert, with some other people. I don’t think that the metrics of multiple of EBITDA on enterprise value is a good valuation for Innergex. I think that the discounted cash flow given the type of asset that we own, that we have more than 70% of our portfolio being hydroelectric. And it’s great increase of free cash flow by 2017. I don’t think that – that our stock is very well valued around $11, but the market is always right. So, I think I will stop there.
Rupert Merer: Alright, I will leave it there. Thanks very much.
Operator: Your next question comes from Kelsey Roste with RBC Capital Markets. Please go ahead.
Kelsey Roste: Good morning. I just want to follow-up due to the strong hydrology in BC in Q1, can you give us any type of indication of what the hydrology is looking like in Q2, assuming that the snow pack is probably less than other years?
Michel Letellier: Yes. Well, a good proxy is well sometimes just to keep in mind if you go to the Whistler Blackcomb website you have some webcam that overlook the alpine. And what happened in the last winter, obviously, there is definitely less snow pack, but it had to be in the lower altitude. So, something our main water intake, especially in the area of Rutherford, Ashlu and so forth are around 600 meters. And that’s roughly, that’s the village elevation. So, if you go up to mid station, let’s say at 1,000 meters, there were definitely less snow at the end of the winter in those range, but there is plenty of snow on the top on the glacier, on the really alpined area. So, what happened in April and beginning of May is that usually the lower elevation snow is melting in those one and bringing a lot more snow. So, since there were a little snow in those altitudes, April was little bit weak in BC, but it’s now picking up quite strongly, it’s forming up and the alpine snow is melting. Now, it’s always difficult to predict the full summer, but for now what we had experienced is that we had little bit of a delay from the real meltdown of the snow in higher elevation for less than a month, but the winter production was well above what we had anticipated. So, so far, so good in terms of the year, a little bit of same thing in Quebec, the winter was really cold and the spring was really late. So, we had little bit lower production at the end of March and beginning of April, but now we have a lot of water in the Quebec rivers and the wind has been very good all year around. So, so far, we are like Jean Perron, we are maintaining our long-term forecast. It’s very seldom that before the end of the year we can confirm or inform the long-term average. I think this year seems to be on a good start, but we never know with Mother Nature.
Kelsey Roste: Thank you. So, my second question is, subsequent to the quarter, you announced a 50-50 partnership with First Nations in BC to build the 210 megawatt wind facility at Nulki Hills, what’s the age of the development process are you at?
Michel Letellier: Well, obviously, I think is a great project, we have a great partner, the First Nation are very supportive of this project, the landscape there is I guess easy to build, it’s not complicated at all, it’s easy access, it’s close to the future LNG plant and future pipeline. So it’s strategic places where we think we can add value and had renewable project in those areas. But obviously we need an EPA. I am very confident with the ability of this project to be competitive in future RFPs. In terms of development, I think that we have done quite a bit of environmental study. The social license is very strong, having the First Nation being a partner in this project. The only thing we are missing is as an EPA, so working hard on that project to make sure that it could be a good alternative for any future awards of EPA in BC.
Kelsey Roste: Great. So just to confirm, you had mentioned for future RFPs, so in these projects, do you need to wait for a clean power call or an RFP or are you going to be directly negotiating with the government?
Michel Letellier: Well, it’s all of the above. Obviously we are trying to be able to negotiate with government. But it’s never a sure thing, obviously. I think that this project is well-positioned like I was saying to mitigate some of the, I guess contribution to – from future LNG project or future pipeline installation in that area. But there is nothing we can force the government on. But if LNG projects are going forward there is a good, I guess this is a good spot in the province to be.
Kelsey Roste: Great. Thank you. And I just guess along the same lines, the partnership that you announced last year, I believe the instant partnership for the six hydro developments, how are your negotiations going for getting an EPA with the government on that?
Michel Letellier: Well, it’s complicated with government, obviously it’s – the price is an issue. So we are still working with the In-SHUCK-ch very hard on trying to reduce prices, finding ways to mitigate on total construction, including a transmission line, substation and what I view. So First Nation are very supportive on those issues. We will see also with the federal if we can get some help on that side too. So working and trying to reduce the total cost of the electricity to the government and trying to find ways to go forward with those projects.
Kelsey Roste: Perfect. Thank you. And then my last question is you had mentioned that the constructions expected next week for the MU wind facility, do you have what the timing in looking like in 2016, should we expect it in late Q4 or earlier than that?
Michel Letellier: All the wind projects in Quebec have I guess a COD delivery date for December 1, that’s how Hydro-Quebec are signing contract, although we have provision to deliver electricity before that. We don’t expect to have any issue meeting the 1st of December date. We might be a little bit earlier as well. We could sell a little bit of electricity, but the date – the hard date on the Hydro-Quebec EPA is 1st of December.
Kelsey Roste: Great. Thank you. And that’s all my questions.
Operator: [Operator Instructions] Your next question comes from Ben Pham with BMO Capital Markets. Please go ahead.
Ben Pham: Thanks. Good morning everybody. I just – I wanted to go back to BC and some of the commentary there. And I am wondering with BC Hydro, moving forward, flip side to see you are trying to move that forward, what do you think there is a need for your projects in BC at all, is it a call on the BC Hydro being short power in the later part of the decade, maybe just some commentary around that?
Michel Letellier: It’s hard to understand BC Hydro sometimes, but there is one thing that was positive in the last quarter is that. If you remember they had very stronger and aggressive target in order to have the demand side management being a source of I guess negative growth on the consumption. But they officially announced that they wouldn’t be able to meet the aggressive target that they had put. So that’s somehow would translate to something around 400 megawatts to 500 megawatts of I guess shortfall on that initiative by 2020. So that’s a little positive view on – in terms of the market. Other than that, it will always depend the – Mr. Bentley, the Minister of Energy made a couple of comments in public meetings, saying that he might be a little bit more bullish on the demand. There seems to be a little bit more bullish on LNG being forward, although Petronas has proposed, I guess settlement agreement or participation agreement with First Nation, that seems to have been rejected, somehow. I am pretty sure that they have other alternatives or maybe ways to mitigate that. But the government seems to be positive about future LNGs, not necessarily six, but two or three LNG projects seems to be advancing fairly well. So and some – apparently some mines are advancing as well. So obviously, if demand is growing, that’s going to help our industry to be able to participate in future calls. That being said, site C is under challenge in by court by a few groups, so would that lead to delays or even cancellation, it’s very hard to predict, that’s about it.
Ben Pham: Okay, it sounds good. And another question I had, just with the Quebec side and the re-contracting file, where are we with that right now are we in arbitration, what the – what we are…?
Michel Letellier: What we have done is there is two – well three, I guess three developers that are under arbitration for the time being. We will eventually know the outcome. For us, we have Saint-Paulin that we have put our Northeast of arbitration. And Hydro-Quebec has proposed to keep that arbitration on stand until the – I guess the existing arbitration process is finalized. And they are maintaining the price of electricity and all the condition as it stands actually with the actual EPA. So we are waiting, we should know a little bit more this summer or early fall.
Ben Pham: Okay. Thanks for taking my questions.
Operator: And Ms. Privyk, there are no further questions at this time.
Marie-Josée Privyk: Thank you. Thank you everyone. We appreciate this opportunity to provide an updated about our company. And please don’t hesitate to contact us if ever you have any other questions.